Operator: Good afternoon and welcome to the Nanometrics Second Quarter 2012 Financial Results Conference Call. A Q&A session will be held at the end of the conference call. Until that time, all participants will be in a listen-only mode. Please note that this conference is being recorded today, July 26, 2012. At this time, I would like to turn the call over to your host, Claire McAdams. Please begin.
Claire McAdams – Investor Relations: Thank you and good afternoon everyone. Welcome to the Nanometrics second quarter 2012 financial results conference call. On today’s call are Dr. Timothy Stutlz, President and Chief Executive Officer, and Ronald Kisling, Chief Financial Officer. Shortly, Tim will provide a recap of the second quarter and our perspective looking forward. Then, Ron will discuss our financial results for the second quarter and third quarter outlook. After which we will open up the call for Q&A. The press release detailing our financial results, was distributed over the wire services shortly after 1:00 PM Pacific this afternoon and it’s also available on our website at www.nanometrics.com. Today’s conference call contains certain forward-looking statements including, but not limited to financial performance and results including revenue, margins, profitability, and earnings per share, customer concentration, tax rates, and product adoption. Although Nanometrics believes that the expectations reflected in the forward-looking statements are reasonable, actual results could differ materially from expectations due to a variety of factors including economic conditions, changes in levels of industry spending, the adoption and competitiveness of our products, shift and timing of orders or product shipments, changes in product mix, our ability to successfully identify, complete, and integrate acquisitions to realize operating efficiencies and to achieve reduced tax, and the additional risk factors and cautionary statements set forth in the company’s Form 10-K on file for fiscal year 2011 as well as other periodic reports filed with the SEC from time-to-time. Nanometrics disclaims any obligation to update information contained in any forward-looking statements. I will now turn over the call over to Tim Stultz. Tim?
Dr. Timothy Stutlz – President and Chief Executive Officer: Thank you, (Claire) and good afternoon everyone. During my prepared remarks today, I will hit on a few of the second quarter performance highlights followed by an update on our long-term business drivers and close with comments on the near-term outlook and our guidance for Q3. Overall, our second quarter revenues came in as forecasted without any major surprises. We did benefit from stronger than expected upgrade business that gave a boost to our overall gross margin, pushing that above our expectations. This in turn contributed positively to incremental earnings which also exceeded guidance. As expected product gross margin declined sequentially driven by an increased mix of our Atlas II systems which comprised about a half of all Atlas units sold in the quarter. The good news is that the Atlas II margins are steadily improving, met our objectives for the second quarter and are on track to meet our projection to exit the calendar year with gross margins of 55% or better. This tool continues to be well-received by our customers and is ramping faster than any other product we have previously brought to market. Another significant highlight for the quarter was that our foundry business hit an all-time high contributing 30% to our overall revenues as we benefited from ongoing investments by existing customers as well as some additional penetration into our key target accounts. On the device side, we saw a significant decrease in DRAM spending, which helped to offset lower spending in logic and flash. From our customer perspective, we saw a welcome step-up in spending by Hynix. Historically, a stronger account for us, as they resumed their investment and tool needed to support capacities, as well as the development of next generation devices. In spite of these positive trends, however, we did see a sequential decline in revenues of 4%. Our automated systems business was negatively impacted by the well-publicized pause in spending by one of our largest customers. In addition, limited capacity investments at some major accounts hampered our integrated metrology sales. While continued softness in the LED, solar and silicon wafer business brought our materials characterization business to a three-year loan. And finally, our balance sheet has remained strong with cash increasing to nearly $96 million, net of $5 million spent in the quarter on stock repurchases. Now, I’d like to turn to our key business drivers, the foundation upon which we will grow and further strengthen our business. Today, we have more engagements across more customer products and technologies than ever before. In addition, and quite importantly, the semi industry is pushing a large number of disruptive initiatives that will lead to major technology inflections and thus growth opportunities for Nanometrics. These include 3D device architectures, such as FinFET transistors, 3D memory chips, such as the VNAND, 3D packaging, complex multi-step lithography, EUV, the impending wafer size increased from 300 millimeter to 450 millimeter, and of course, the ongoing pursuit of Moore’s Law through shrinking of critical dimensions with current development efforts focused on low 20 nanometers and below. These investments in device technology whether they are to drive performance, increase yields, or reduce manufacturing costs create more demand from measurement and control and translate to growth opportunities for Nanometrics. Let’s take a look at a few of them. Our optical critical dimension or OCD platform has already established itself as the market share leader and has been widely utilized by the majority of the world’s largest semiconductor companies and high volume manufacturing of the most advanced devices in the industry. Today, our applications teams are working closely with every major chip manufacturer to develop next generation products including 2Y or low 20-nanometer and 1X node devices, as well as 3D memory and device architectures. These collaborative engagements further strengthen our relationship with the industry leaders, help define our product roadmap, drive our R&D investments, and will lead to growth of our process control business across multiple product lines, including the Atlas, IMPULSE, UniFire, SPARK and Mosaic platforms. Advanced wafer scale or 3D packaging is another important emerging market for Nano. Investments and applications in this space are expanding at rates greater than other established areas notably for the development of 2.5D or interposer structures. We recently announced an important new win for our SPARK platform or advanced packaging at a major foundry. This win along with our UniFire, which is only deployed into high volume manufacturing, strengthens our position in this important growth area. And then there is a move to larger wafer diameters. Although they are financially compelling reasons for our customers to increase the size of the wafers they process, changes in wafer size represent one of the most challenging and significant inflection points for our industry and create major opportunities for tool providers. This is particularly true for measurement and inspection or process control, as our customers struggle to achieve tighter control of uniformity over much larger surface areas leading to an increase in metrology and inspection sampling rates. Last year, we received multiple orders for 450-millimeter Atlas II. This quarter, we are delivering the first of these tools, which is one of the earliest 450-millimeter systems being shipped in the industry. And finally as discussed earlier, our entry into the macro inspection market through our recently acquired SPARK product line has gained initial commercial traction and it is also under evaluation at a number of additional key customer sites. We see growth opportunities for this business unit both from market share gains and established application areas as well as from emerging applications driven by the technology inflection points we discussed earlier. In summary, we have a very positive outlook on our long-term business and growth opportunities based on four key business drivers. First, secular growth within our primary served markets, which was greater than overall spending patterns; second, expansion of our position with existing customers through collaborative development of next generation technologies and devices; third, industry inflection points that drives the need for new tools and capabilities creating opportunities for further market share gains; and fourth, the expansion of our served markets resulting from strategic acquisitions and R&D investments. Now, a few words about our near-term outlook. Declines in wafer fab equipment spending by major chip manufacturers have been announced over the last few weeks. This has been variously attributed to seasonality, macroeconomic headwinds, and the cyclicality of our industry driven by the imbalance between capacity and demand. It is likely some combination of all of these. Importantly from our perspective, we see this more as a positive investment rate rather than the beginning of an extended severe industry downturn. Near-term, we do see weakness in spending across both customer segments, whereas DRAM spending has actually been improving, it is still lower than our previous levels and will likely not be enough to offset forecast decreases in NAND spending over the next couple of quarters, following very robust capacity spends by this sector earlier this year. Logic spending is also expected to be down near-term as the ramping for the most recent technology node is completed. And there is a pause in spending before new technology buys where the next node starts up. Our position in foundry is indeed improving. We expect near-term decreases in spending by our major customers in that space as well. With that, our guidance for Q3 is as follows. Revenues are $40 million to $45 million, non-GAAP gross margin of 46% to 49%, operating expenses of $400,000 to $700,000 from Q2 and non-GAAP EPS of a loss of $0.07 to a profit of $0.02. Before turning the current call over to Ron, I would like to make a few closing comments about our business model and our drive to improve our overall financial performance. Two hallmarks of our operational performance in prior periods have been industry leading gross margins and operational leverage through tight management of expenses and cash flows. Last quarter, we shared our expectation that Q2 would be the gross margin bottom for us. This quarter we exceeded our margin guidance due to a high margin upgrade sales coming in above our forecast. Product margins on the other hand came in at 45.5%, right about where we expected. Therefore, the guidance range of 46% to 49% for the third quarter is still indicative of improving product gross margins in spite of anticipated lower revenue volumes. On the spending side, last year we decided to make investments necessary to enter the inspection market and expand our served market by more than 30%. We obviously knew this would negatively impact our operating income as we added significant ongoing expense with no immediate offsetting revenues. We continued to firmly believe this is the right strategy to grow our business and provide long-term returns to our shareholders. We are pleased with the progress of the inspection business unit and look forward to become accretive to our model in the latter part of 2013. Looking forward, however, with the ongoing restoration of product gross margins, projected growth of our inspection business and some recovery in the industry spending in combination with the same disciplines we’ve exercised of our spending and cash flow management in the past, we are confident that we will get back into our business model delivering industry leading financial performance in the not too distant future. With that I will turn the call over to Ron to discuss our results and guidance in more detail.
Ronald Kisling – Chief Financial Officer: Thank you, Tim and good afternoon. Before I begin my comments I would like to remind you that a schedule which summarizes GAAP and Non-GAAP financial results as well as revenue segment information provided on this conference call is available in the Investors section of our website. In the second quarter, revenues were $53.2 million, down 4% from the first quarter, down 17% from our record high second quarter 2011, and above the midpoint of our guidance. Total products revenue are $41.6 million, declined 13% from the first quarter of 2012 reflecting decreased spending by two of our three largest customers, partially offset by increased spending behind it in the second quarter. Service and upgrade revenues were a record $11.6 million, up 52% from the prior quarter driven by expanded positions of our key customers and strong upgrades within a quarter. By product area, sales of our automated metrology system remained strong, declining only 3% from year ago levels and 9% from record Q1 levels were $37.1 million and comprised 70% of total revenues for the quarter. First half sales of automated metrology systems were essentially flat with first half sales in 2011. Atlas II shipments comprised approximately 50% of Atlas units in Q2 compared to about 40% in Q1. Sales of our integrated metrology products were $2.5 million, down 42% from Q1 and comprised 5% of total revenues reflecting a reduction in capacity investments by our primary integrated metrology customer. And sales of material characterization products which also in the second quarter comprised the LED, solar, and silicon substrate end markets continued their decline from Q1 and were down 24% to $2 million and comprised just 4% of total revenues due to the continued weakness in capacity spending in the LED, solar, and bare wafer silicon sectors. Turning to total revenues by geographic regions, we report revenue based on the ship to or first in use destination. In the second quarter, revenues from South Korea were 56%, North America 26%, and 18% for the rest of our geographic regions. Our largest customers in the quarter Samsung, Hynix, and Intel comprised 34%, 25%, and 14% of our total sales respectively. By end market, which includes product revenue only the most significant increase within the foundry segment, which increased 45% over the first quarter to comprise 30% of product revenue compared to 18% in the first quarter. Product sales to the memory segment were down 3% in Q1 and comprised 44% of total product revenues, which flash spending down of a relatively high Q1 levels and DRAM increasing over a very low Q1 levels to comprise 24% and 20% of total product revenues respectively. In my discussion of gross margin, unless I specify that a measure is presented on a GAAP basis, all margins are presented on a non-GAAP basis, which excludes the amortization of acquired technology. Gross margin was 47.8% compared to 46.3% in the prior quarter coming in above our guidance due to higher-than-anticipated service gross margins driven by a large amount of software related upgrades in the quarter. We saw improvement in Atlas II margins over the first quarter in line with our plans, and we remain on track to bring Atlas II margins on par with our Atlas XP margins by the end of the year. As we indicated on our Q1 call, Atlas II tools comprised a greater percentage of total automated tools sales in the second quarter, which adversely impacted product margins, which declined to 45.5% compared to 48.1% in the first quarter. Service gross margins increased to 55.6%, the second highest on record for service gross margins due principally to an increased mix of high margin upgrade revenues and to a lesser extent higher core service revenues. Service revenues comprised 22% of total revenues compared to 14% in the first quarter. Even though we expect Atlas II margins to improve in both the third and fourth quarters, three factors will continue to influence total gross margins, high contribution of Atlas II versus Atlas XP, overall revenue mix, and lower overall sales volume. As Tim mentioned, overall gross margins for the third quarter are expected to fall within a range of 46% to 49%. On a non-GAAP basis, operating expenses were $20.3 million, coming in below our guidance and down $500,000 from Q1 primarily on lower outside professional fees during the quarter and conservative discretionary spending in response to the industry condition. For the third quarter, our operating expense guidance of $20.7 million to $21 million is an increase of $400,000 to $700,000 in Q2 and includes approximately $700,000 related to organizational changes and consolidation. The changes are focused on centralizing certain operations and aligning company resources to expected revenue growth and market opportunities. These changes are also expected to have a favorable impact on ongoing operating expenses of at least $500,000 in the fourth quarter and into next year. As a result of the improved gross margins and lower operating expenses, non-GAAP operating income for the second quarter improved and was $5.1 million or 9.6% of revenue compared to $4.9 million or 8.9% of revenues in the prior quarter. Turning to income taxes, as we indicated on our first quarter conference call, we made certain tax elections to improve our ability to benefit from certain foreign subsidiary losses generated. These elections should result in a 2012 structural tax rate in the mid-30s. Because the elections had not yet been approved at the end of the first quarter, the benefit was not reflected in our first quarter GAAP tax rate of 54%. During the second quarter, we received IRS approval, which is retroactive to the first of the year. As a result, our Q2 tax provision includes a true-up to bring the first half tax provision down to our new structural rate resulting in a second quarter tax benefit of 12% on a GAAP basis. For our non-GAAP presentation, we have reflected an adjustment to result in the non-GAAP effective structural tax rate of 36.5% for both the first and second quarter. The year-to-date GAAP effective tax rate of 20% defers form our expected structural rate of the mid-30 due to discrete item reflected in the first half. We expect our effective tax rate in the second half to be in the mid 30s. On a non-GAAP basis, our net income was $3.1 million or $0.13 per diluted share compared to $2.9 million or $0.12 per share in the first quarter. Also during the second quarter, we’ve repurchased 337,000 shares for an aggregate price of $5 million completing repurchases under the 2010 plan. During the quarter, the Board authorized an additional $20 million for stock purchases. Our principal objective under this program is to offset the dilutive impact of employee stock program. Our cash and investments increased $400,000 to $95.8 million or approximately $4.15 per share. Based on 23.2 million shares outstanding at June 30, net of the $5 million of stock repurchases. Our DSO was 68 days within our target range of 60 to 70 days. Since the beginning of the year, we have reduced overall inventory by $6.7 million or 12%. Q2 inventory was $47.2 million resulting in inventory turns of 2.4 consistent with first quarter turns. Our tangible book value increased to %193.8 million or $8.36 per share, up from $8.09 at the end of the first quarter. We ended the quarter with headcount of 569 employees, a net increase of four from last quarter. And with that, I will turn the call over for questions. Operator?
Operator: (Operator Instructions) Our first question comes from Mahesh Sanganeria with RBC Capital Markets.
Mahesh Sanganeria – RBC Capital Markets: Thank you very much. Tim, just looking into the September quarter I am assuming that the decline is primarily coming from that upgrade business and the system, the metrology OCD business?
Dr. Timothy Stutlz: Hi Mahesh. Actually the decline we are looking at is a result of a pretty well publicized decreases in spending by the two largest spenders in the industry, which happened to also be the two largest customers that we have.
Mahesh Sanganeria – RBC Capital Markets: Right, so that’s – but the upgrade business was unusually high I mean by looking at the gross margin number I’m estimating the upgrade business was in $5 million range. And I would assume that that would revert back to a $1 million kind of $1 million-$1.5 million range, is that a good estimate?
Dr. Timothy Stutlz: No, I am not going to give you specific guidance on the upgrades, Mahesh. But the upgrade business as you know has periodic fluctuations based on the customers buying large groups different times. It’s been rather low in the previous quarters. We’ve seen some nice outlooks on it. We got a very nice contribution this quarter, but the real swing factor for us is the spending by our two largest customers.
Mahesh Sanganeria – RBC Capital Markets: Alright and you also said that you expect this to continue for a couple of quarters that means you don’t see the pickup in the December quarter yet, but is it safe to say that you from what your discussion with the customer you would start seeing the pickup in the March quarter?
Dr. Timothy Stutlz: Right now, as you now, there has been an awful lot of near-term volatility in the spending patterns of our two largest customers. And we are trying to be cautiously optimistic about what their spending is going to be. We do know that there are some pretty significant capacity adds, fan-outs, and new technology buys are recurring in 2013 that we’ll benefit from. And we just see ourselves weathering through this uncertainty for the next couple of quarters.
Mahesh Sanganeria – RBC Capital Markets: Okay. So - in terms of the Atlas II gross margin, what’s the timeline, has there been change in the timeline to get it to the 55% kind of gross margin?
Dr. Timothy Stutlz: So, actually we’re really pleased, the team has really executed quite well on bringing the margins of that tool up by bringing the cost down. We are on track we’ve given previous guidance that suggest we will reach our goal by the end of the calendar year. And I expect us to be there at that timeframe.
Mahesh Sanganeria – RBC Capital Markets: Okay, thank you very much.
Dr. Timothy Stutlz: You bet.
Operator: Our next question comes from Patrick Ho with Stifel.
Patrick Ho – Stifel: Thank you very much. Tim, just looking forward in terms of the industry trends and the potential pickup in shipments in the December quarter, given the concentration you have with those specific customers is the possibility that some of the pushups that are occurring now come back into the December quarter or do you feel right now that that’s more of a early 2013 story?
Dr. Timothy Stutlz: That’s a good question. I would like to have a good clear answer for you on that. As you know, as we get into this timeframe, especially in the summer quarter and then we move into the fourth quarter we always experience I mean the industry experienced a fair amount of volatility. I think it’s really too early for us to give you that kind of definitive answer for the fourth quarter. We are getting confident on long-term spending and programs in place. But our customers have notoriously changed their spending patterns under a short notice and if it happens in the fourth quarter, we’ll be ready to respond to it, but right now we are not guiding to that.
Patrick Ho – Stifel: Okay, fair enough. Maybe a different take on the Atlas II gross margin progress that you’ve made, where would you say the – I guess the next incremental steps are. Is it now just getting it to volume, do you believe you have the supply chain and the manufacturing aspects now set or it’s not just getting it to volume to get the margins to your I guess normal corporate average?
Dr. Timothy Stutlz: It’s really we are on track for the improvements. It’s not really tied directly to volume, but it’s really tied to the negotiation of the key components within the supply chain and the volume purchase agreement. And then when we receive them against the orders and when they worked away through the P&L. So, it’s really, the linkage is much more to the bill of materials and the cost of goods than it is to any volume metric on that. The guys are on track and doing a terrific job. They laid out a plan almost a year ago, well six months ago, but a one-year plan and there has been a stride on it. So, we’ll see quarter-by-quarter improvement in that margin.
Patrick Ho – Stifel: Final question for me, obviously there was a lot of noise at SEMICON West regarding the 450 millimeter investment Intel made into ASML. I know you guys have been early to the forefront with 458 millimeter in the past in your previous calls does that agreement either accelerate change any of your plans and how can we look at the investment profile for 450 millimeter on a going forward basis for you?
Dr. Timothy Stutlz: The linkage to our plan probably isn’t terribly strong, but I think what that investment did do was gave more clarity and definition to the 450 millimeter roadmaps, we’re early on with our tools, they use our tools for early product assessment, early technology development, early tool development. And by clarifying the roadmap through that investment I think it brings the other tool developers in line and gives us all a lot more confidence in the timing, which I think ultimately plays out that 450 millimeter is going to be pulled in a little earlier than it was previously believed.
Patrick Ho – Stifel: Does it change any of your investment plans because of that?
Dr. Timothy Stutlz: No, because our investment plans were to bring our tool to market rather early as I’ve said we’ve got our plans on across our product platforms and will be there at the early stages of all this because of our customer requirements.
Patrick Ho – Stifel: Great, thank you.
Operator: (Operator Instructions) Our next question comes from Tom Diffely with D.A. Davidson.
Tom Diffely – D.A. Davidson: Good afternoon. So Tim, quick question for you on seasonality, I realized that the last many December quarters business has been down, but is there really any seasonality or is it just kind of the way the cycles have fallen over the last 4 or 5 years?
Dr. Timothy Stutlz: Sure, that’s a good question Tom and we are all trying to figure that out. I think that the spending patterns historically in the last several years haven’t fall what one would call normal seasonal trend. We as a company have – certainly had declines in our fourth quarter revenues over the last several years. A lot of that was driven more by customer negotiations and last minute pricing negotiations for delivery that we held fast on. I think at least some of the pundits believe that this spending pattern now is more reflective of seasonality. I think it’s tied to what’s going on in the capacity for NAND. The heavy investment in NAND capacity in the early part of the year, a bit of recovery in the DRAM area and the ultimate timing on the investments in logic which has been pushed out just a little bit.
Tom Diffely – D.A. Davidson: Okay and when you see some of your larger customers that have multiple product lines be a little weaker going forward, are they weak across the board or is there relative strength between DRAM, NAND, and logic inside of a single customer.
Dr. Timothy Stutlz: Well, we’re seeing shift in the spending patterns, last quarter we had very, very low, one of the lowest contributions from DRAM towards overall memory revenues. We’ve seen a pickup in spending on DRAM across multiple customers. We’ve seen a slowdown in the NAND capacity. Again I think part of it had to do with the aggressive spending that was early on the year and also just some softness in the NAND devices. And then I think there were some yield issues that drove some timing of investments in some other sectors as well as all kind of compounded to give us the kind of spending patterns we are now seeing.
Tom Diffely – D.A. Davidson: Okay. And then you guided to a margin range between 46 and 49, is it biggest factor there, just mix or is it how the product comes down, the improvement plan as well or what’s really going to put you at either end of that scale?
Dr. Timothy Stutlz: So, what we are going to see, I mean, we are going to see continued improvement in Atlas II margins, which are going to drive things up, but the overall mix will still have an impact on where we come out. And so I think those are going to be the drivers that put us somewhere in that range.
Tom Diffely – D.A. Davidson: Okay. Go ahead, sorry.
Dr. Timothy Stutlz: And then the other thing is just looking at the volume, it’s going to have an impact as well on where we come out.
Tom Diffely – D.A. Davidson: Okay. Where you are in your revenue range is kind of?
Dr. Timothy Stutlz: Where we are in the revenue range, yes.
Tom Diffely – D.A. Davidson: Okay. And then Ron, when you look at your taxes on a long-term basis, what can be done over, I guess, maybe a multiple year period to bring that down and what reason could we expect over that period of time? A lot of equipment guys now because they are overseas, they can produce with taxes in the 20s, but what’s your long-term goal?
Dr. Timothy Stutlz: Yeah. So, our long-term goal would be to bring our rate into the 20s and we’ve done the research and we know what we would need to do structurally to get to that rate. It’s a multi-year process to get to that as you transitioned from bringing all of the profits into U.S., which is how Nano is structured today to leaving some of the profits in foreign countries with the lower tax rates. We’ve indicated that we have identified exactly what we need to do. We are going to wait and see. There is lots of discussions in the government about whether or not to either lower the U.S. rate or alternatively eliminate the benefit that most companies take advantage of. And it’s a multi-year project to get there. So, we are waiting to kind of see how things play out this year before we embark on this multi-year project. Once we kick it off, I would expect to see 1% to 2% decreases in the first couple of years and that we ultimately end up in the 20s with rates that are comfortable. Really, the differentiation between companies is really driven by the mix of international to U.S. in terms of where in the 20s you end up.
Tom Diffely – D.A. Davidson: Okay, alright. And then finally, you talked a little about the OpEx going up just a hair in the next quarter. With revenues coming down, well, our thoughts have been kind of a natural pushdown on the operating expenses, so what’s driving the uptick?
Dr. Timothy Stutlz: So, as I mentioned, we did a couple of activities to consolidate and reorganize during the current quarter, Q3 and the cost associated with that or about $700,000. And so we’ve guided up $400,000 to $700,000. So, the core spending is actually down to flat if you exclude the impact of some of these changes. And then further, these changes are going to favorably impact our spending as we go in to Q4 next year, by at least $0.5 million per year.
Tom Diffely – D.A. Davidson: Okay, great. Thank you.
Operator: Our next question comes from Gus Richard with Piper.
Gus Richard – Piper: Yes, thanks for taking my question. I got a couple. First of all, just thinking about FinFET and as the foundries adopt that, I know you’ve got some demo tools out and some of the foundries for that activity. Do you have an expectation as to when that kind of structure would ramp in some of the foundries?
Dr. Timothy Stutlz: Yeah, I guess, the FinFET technology, we believe helps us a lot in our efforts to penetrate some accounts, well we don’t have a strong division. Based on the experience we have with our tools in the high-volume manufacturing for FinFET, it’s the timing is more about, I think it’s more of a technology node question than it is about where I can call the month. And right now, based on the announcements and engagements, we think its 20-nanometer nodes are the places, where at least two of the major – two of the foundries we are talking of bringing FinFET in and that would be our opportunity to gain some tracks in there.
Gus Richard – Piper: Okay. And that would be the second generation of 20, not necessarily the first?
Dr. Timothy Stutlz: In at least one account, that’s what we have heard, I don’t know about the other account, but it’s certainly what they have said publicly on one account is that they will go first generation 20-nanometer with planar and they will do second – they will bring FinFET into the second generation 20-nanometer.
Gus Richard – Piper: Right. And then on FD-SOI, the IBM fan club is looking like they're moving forward a number of people made announcements. Have you had a chance of looking to opportunities for OCD area, the tools if people go with that gate structure?
Dr. Timothy Stutlz: Well basically, we've – we have looked at wafers whether they’d be bare silicon or SOI. We were kind of – we’re right now seeing as what the core wafer technology is. We are measuring terms and structures on top of it. Our tools do work whether or not they're bare silicon or they’re SOI wafers and we expect to able to benefit accordingly in which ever way they go we’ll be there.
Gus Richard – Piper: Let me try it this way if someone decides go FD-SOI and it doesn’t use a Fin, is there a need to go OCD?
Dr. Timothy Stutlz: Yes, absolutely.
Gus Richard – Piper: Okay. But the intensity might be a bit lower?
Dr. Timothy Stutlz: No I don’t think so I think it’s just – it’s a different use case, but well…
Gus Richard – Piper: Sorry. And then Tim just in terms of – you said there are other growth opportunities next year when you think of technology transitions maybe through silicon via or what have you – outside of OCD what do you see as a big driver potentially for you in ’13?
Dr. Timothy Stutlz: That’s a good question, so when we look at OCD business we are happy it’s a strong area, there is continued investment. But what else do we do to grow the business. So we’ve got three areas that I think are going play out to give us incremental opportunity. The first one is penetration – significant penetration of the third large spender of the industry, which we still don’t have the kind of position I think we just came out. And that would be incremental to our overall business model. Second one is the growth in the advanced packaging. We've got a couple of tools down that space both in the spark and the UniFire platforms and that’s an emerging market that really hasn’t come closer to hitting its stride, its still at the bottom of the S-Curve. And third one will be same gains in inspection market, both in the established areas of macro inspection, as well as some of the emerging areas that we're getting somewhat interested in. So, I think those are the three areas with the largest opportunity for growth incremental to our core business.
Gus Richard – Piper: Got it and then just on going back to SG&A, the increase – the incremental increase sequentially is going to be mostly in the SG&A line and then the decline going into the fourth quarter the savings is that going come out of R&D and SG&A am I thinking about that wrong?
Ronald Kisling: You’re thinking about it correctly. The incremental costs associated with the activity in the reorganization largely mirrors where the savings will come in the future quarters. So, if you look at kind what you're seeing in the savings that’s where you’ll – where you’re seeing the ramp that’s where you'll see the savings going into the Q4 and beyond.
Gus Richard – Piper: It makes sense to me, perfect. I appreciated it. Thanks.
Dr. Timothy Stutlz: Thanks Gus.
Operator: And I’m not showing any further questions at this time. I'd like to turn the call back over to Mr. Stultz for closing remarks.
Dr. Timothy Stultz – President and Chief Executive Officer: Well, thank you once again for participating in our call. We appreciate the continued support and commitments of all our stakeholders, our customers, our shareholders and our employees. The latter of which truly make it all happen on day-to-day basis. I look forward to reporting on the results of our operational and financial performance for the third quarter of 2012 in October.
Operator: Ladies and gentlemen, this does conclude today’s presentation. You may now disconnect and have a wonderful day.